Operator: Good day and thank you for standing by. Welcome to the Q1 2022 SLR Investment Corp. Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to speaker today Michael Gross, Chairman and Co-CEO. Please go ahead.
Michael Gross: Thank you, very much and good morning. Welcome to SLR Investment Corp.’s earnings call for the first quarter ended March 31, 2022. I’m joined today by Bruce Spohler, our Co-Chief Executive Officer; and Rich Peteka, our Chief Financial Officer. Rich, before we begin, would you please start by covering the webcast and forward-looking statements.
Rich Peteka: Of course. Thanks, Michael. I would like to remind everyone that today’s call and webcast are being recorded. Please note that they are the property of SLR Investment Corp. and that any unauthorized broadcasts in any form are strictly prohibited. This conference call is being webcast from the Investors tab on our website at www.slrinvestmentcorp.com. Audio replays of this call will be made available later today as disclosed in our earnings press release. I would also like to call your attention to the customary disclosures in our press release regarding forward-looking information. Statements made in today’s conference call and webcast may constitute forward-looking statements, which relate to future events or our future performance or financial condition. These statements are not guarantees of our future performance, financial condition or results and involve a number of risks and uncertainties, including impacts from COVID-19. Past performance is not indicative of future results. Actual results may differ materially as a result of a number of factors, including those described from time to time in our filings with the SEC. SLR Investment Corp. undertakes no duty to update any forward-looking statements unless required to do so by law. To obtain copies of our latest SEC filings, please visit our website or call us at (212) 993-1670. Comments on today’s call include forward-looking statements reflecting our current views with respect to the April 1, 2022 close of SUNS merger within to SLRC. Any expected synergies and savings associated with the merger, the ability to realize the anticipated benefits of the merger, our future operating results and financial performance and the payment of dividends going forward. Please specifically note that the amount and timing of past dividends and distributions are not a guarantee of any future dividends or distributions or the amount thereof, the payment, timing and amount of which will be determined by SLR Investment Corp.’s Board of Directors. With that said, I’d like to turn the call back to our Chairman and Co-CEO, Michael Gross.
Michael Gross: Thank you very much, Rich. I’d like to remind everyone today that on today’s call, we are reporting Q1 2022 operating and financial results of SLRC on a pre-merger basis only. Given the April closing of the SLRC SUNS merger our Q2 2022 earnings report for SLRC will be the first quarterly report of the combined entity. However, on this call, we will provide some pro forma guidance of what the combined portfolio would’ve been at the end of the first quarter. Last night, we reported net investment income of $0.32 per share for the first quarter of 2022. Excluding merger-related expenses the company’s net investment income would’ve been $0.35 per share consistent with the prior quarter. Net asset value at March 31, 2022 was $19.56 per share. The unfolding geopolitical events, continued supply chain issues and labor shortages, and a far more aggressive tone from the fed in reaction to accelerating inflation in the U.S. has injected a dose of uncertainty and volatility into global equity and credit markets. Syndicated spreads widen in Q1, particularly in longer duration fixed income securities. At the margin, we are seeing some spread widening in middle market floating rate leverage loans, but is too soon to call it a trend. Due to our focus on upper middle market U.S. companies operating in defensive sectors, the effect of rising inflation and supply chain disruptions on our portfolio had thus far been immaterial, but of course, they’re closely monitoring the situation. Following a record year of $1.2 trillion of U.S. private equity investments in 2021, sponsor activity slowed in Q1. Against this backdrop SLRC platform originations totaled $174 million against $205 million repayments. Sponsor activities picking up thus far in Q2 and our pipeline made healthy across all of our business verticals. Most importantly, with the closing of the SUNS acquisition on April 1, our comprehensive portfolio has grown by over $600 million to over $2.6 billion, and we expect solid net origination over the course of 2022. At March 31, over 99% of our comprehensive investment portfolio was invested in senior secured loans, and 81% of the portfolio’s fair value was allocated to specialty finance investments. Kingsbridge, which required in Q4 2020 continues to form above our expectations. We continue to actively evaluate commercial finance investment opportunities that could enhance and further diversify SLRC’s portfolio. In January of 2022, we issued $135 million of 3.33% senior unsecured notes due January, 2027 in a private placement. Combined with the $50 million of 2.95% seniors to unsecured notes issued in Q3 2021, we have lowered the company’s long-term average unsecured financing rate. The aggregate $185 million of senior unsecured notes due 2022 have a weighted average annual interest rate of 3.2% a significant reduction from the 4.5% weighted average annual interest rate in the $150 [ph] million of senior unsecured notes that mature next week on May 8. At March 31, our leverage was 0.98 times net debt-to-equity compared to its low point to the pandemic of 0.56 times net debt-to-equity at September 30, 2020. On April 1, 2022, SLRC completed its previously announced acquisition of SLR Investment Corp or SUNS. In accordance with terms of the merger agreement at the time of the merger SUNS common stock was converted into 0.7796 shares of SLRC common stock resulting in the issuance of approximately 12.5 million shares of SLRC to former SUNS shareholders. In conjunction with the merger, SLR Capital Partners, the investment adviser SLRC permanently reduced the annual base management fee by 25 basis points from 1.75% to 1.5% on gross assets effective upon the successful close of the merger. The contractual step down to the base management fee to 1% on gross assets above 1:1 leverage remains in place. We believe the transaction with SUNS make strategic sense to the company will create long term value and growth opportunities for SLRC shareholders for a number of reasons, a few of which I’ll highlight now. The greater scale of the combined company should provide important benefits. As of March 31, the combined company would’ve had just under $2.7 billion of comprehensive portfolio assets, and $1.1 billion of net assets. With a larger market capitalization that is expected to provide greater trading liquidity, garner additional institutional investor interest and research coverage, and enhance the company’s access to the equity and debt markets. Additionally, the greater scale will increase portfolio diversification as well as expand the opportunity set for additional commercial finance opportunities, including tuck-ins, platform acquisitions and asset purchases. The combined company will have a more broadly diversified portfolio will be – it will be enhanced in addition of SUNS two commercial finance affiliates, SLR Healthcare ABL, and SLR Business Credit, which specializes in making senior secured asset based loans and factor arrangements to small and medium sized companies. Based on SLRC’s balance sheet at March 31, the pro forma net leverage for the acquisitions of SUNS would’ve been 0.9 times opening up additional capacity to fund portfolio growth over the remainder of 2022. Over time, we expect that a combination of expected cost synergies, reduce management fees and interest savings resulting from the more efficient debt financing should drive net investment income growth. Importantly, it is the anticipated that the larger scale and capital base should allow the combined company to grow NII faster than either Solar or SUNS would’ve been able to achieve on a standalone basis and to potentially generate higher NII per share. Finally, on March 3, our Board of Directors authorized the company’s adoption of a $50 million share repurchase program of our outstanding common stock. Given the recent market volatility and economic uncertainty is the repurchase plan provides us with an additional tool for enhancing shareholder value. At this time, I’ll turn over the call to our CFO, Rich Peteka to take you through the Q1 financial highlights.
Rich Peteka: Thank you, Michael. SLR Investment Corp’s net asset value at March 31, 2022 was $826.4 million or $19.56 per share compared to $842.3 million or $19.93 per share at December 31, 2021. At March 31, 2022, SLRC’s on balance sheet investment portfolio had a fair market value of $1.63 billion in 101 portfolio companies across 33 industries compared to a fair market value of $1.67 billion in 106 portfolio companies across 34 industries at December 31, 2021. At March 31, 2022, we had two investments on non-approval representing 4% of the portfolio at cost and 1.7% of fair market value. At March 31, the company had $815 million of debt outstanding with leverage of 0.98 times net debt-to-equity, when considering available capacity from the company’s credit facilities together with available capital from the non-recourse credit facilities at SLR Credit Solutions, SLR Equipment Finance and Kingsbridge. SLR Investment Corp has significant available capital to fund future portfolio growth.  Moving to the P&L for the three months ended March 31, 2022, gross investment income, totaled $33 million versus $35.7 million for the three months ended December 31, 2021. Expenses, totaled $19.5 million for the three months ended March 31, 2022. This compares to $20.8 million for the three months ended December 31, 2021. Included in this quarter’s expenses were $1.52 million of one-time cost associated with the merger with SLR Senior Investment Corp. Across the fourth quarter of 2021 and the first quarter of 2022, SLRC recognized the total of $2.4 million of merger expenses, which includes additional reserves, which we currently expect will cover all remaining merger related expenses. Importantly, given where the company is with regard to its incentive fees calculation [indiscernible] the investment manager ultimately covered $1.14 million of the $2.4 million of merger costs. In addition, the investment manager has committed to not included its incentive fee calculation, and he purchased discount increasing created by the company’s asset acquisition accounting under ASC 805-50. Back to the P&L, accordingly the company’s net of investment income for the three months ended March 31, 2022, totaled $13.5 million or $0.32 per average share compared to $14.9 million or $0.35 per average share for the three months ended December 31, 2021. Below the line, the company in net realized and unrealized losses for the first fiscal quarter totaling $4.0 million compared to a realized and unrealized loss of $8.8 million for the fourth quarter of 2021. Ultimately the company had a net increase and net assets resulting from operations of $1.5 million or $0.04 per average share for the three months ended March 31, 2022. This compares to net increase of $6.1 million or $0.14 per average share for the three month ended December 31, 2021. Finally, on May 3, 2022, the Board of Directors declared its new monthly distribution of $13.6667 per share payable on June 2, 2022 the holders of record as of May 19, 2022. And with that, I’ll turn the call over to our Co-CEO, Bruce Spohler.
Bruce Spohler: Thank you, Rich. At quarter end, SLRC’s comprehensive portfolio was approximately $2 billion and remained highly diversified encompassing 600 different borrowers across 80 industries with average exposure of $3.3 million or 0.2% of the total portfolio. Our largest industry exposures were diversified financials, healthcare providers, life sciences and software at quarter end over 99% of the comprehensive portfolio consisted of senior secured loans. 95% of the portfolio was invested in first lien assets and only 4.3% was invested in second lien assets, of the second lien loans 1.4% were cash flow and 2.9% were underwritten on an asset basis. At 3/31, our weighted average asset level yield was 10% by focusing on our niche commercial finance verticals. We’ve been able to maintain asset level yields around 10% while actively reducing our exposure to second lien cash flow investments. At March 31st, the weighted average investment risk rating of SLRC’s portfolio was just under two based on our one to four risk rating scale with one representing the least amount of risk. At quarter end the weighted average LTV of our first lien income producing portfolio was approximately 45% loan-to-value, indicative of significant junior capital and equity cushions supporting the investments in our portfolio. Total originations for the first quarter were just over $170 million and repayments were just over $200 million. Essentially, we were able to run in place during the first quarter, despite a backdrop of the seasonal slowdown in sponsor activity, as well as a more uncertain and volatile environment. Importantly, SLRC had approximately $180 million of unfunded commitment outstanding at quarter end, which we expect to fund in future quarters. Now let me turn to each of our investment verticals. Sponsor Finance at 3/31, our cash flow loan portfolio was just over $370 million or just over 18% of the total portfolio and was invested in 21 different borrowers. The average EBITDA of our cash flow investments was $82 million consist with our focus on larger upper mid-market borrowers. The weighted average leverage in this portfolio has hovered around 5.5 times consistently and the average interest coverage remains above three times. As Michael mentioned, sponsor activity in the first quarter has slowed from last year’s touring pace. During the quarter, we originated $2.5 million and experienced repayments of over $50 million. Unfunded commitments total over $40 million. These transactions, which are issued by borrowers to fund future acquisitions, offer a prudent opportunity for us to grow our investment and establish credits with existing structures. At quarter end, the weighted average yield on the cash portfolio was 8.2%. Now let me touch on asset-based lending. At quarter end, the combined asset-based portfolio was just under $470 million representing 23% of our total portfolio. And it was invested in 24 borrowers. The weighted average yield on this portfolio was just under 11%. During the first quarter, we originated approximately $38 million of new loans and had repayments of $10 million. Our ability to assess and monitor collateral makes us an attractive financing partner during periods of economic uncertainty when banks tend to retreat from lending. Therefore this business line provides some counter cyclicality to our origination platform. Now, let me touch on leasing. Credit quality of Kingsbridge portfolio remains strong in originations or essentially flat during the first quarter. At quarter end, their highly diversified portfolio of leases, spans across three majors equipment sectors, including technology, industrial borrowers and healthcare, and total approximately $573 million with an average exposure of $1.3 million per borrowing. This lease portfolio was a 100% performing with the majority of the assets invested in leases with investment grade borrowers. For the quarter Kingsbridge paid $3.5 million dividend consistent with the prior quarter, which equates to a 10.2% annualized yield on cost, including interest on our $80 million senior secured loan into Kingsbridge. Gross total income generates by the investments in Kingsbridge through the debt and equity was $5.1 million for the quarter. While Kingsbridge continues to have a strong pipeline of new investment opportunities, supply chain disruptions are likely to limit portfolio growth in the near term, but also will extend attractive residual leasing activity. Now, let me turn to Equipment Finance. As a reminder included in our Equipment Finance business, our financings held on our balance sheet as well as in our so SLR Equipment Finance subsidiary. During the first quarter Equipment Finance invested $20 million and had repayments of $45 million. At quarter end, the portfolio totaled just over $316 million. It was invested across 94 borrowers with an average exposure, approximately $3.5 million. This asset class represents approximately 15% of our total portfolio. 100% of their loans are in first lien assets and the weighted average asset level yield is just over 9%. In Q1 comprehensive investment income, from the entire Equipment Finance business totaled $3.3 million to rebound in economic activity that started in the fourth quarter of 2020 and continued through last year has been supportive of the performance of our Equipment Finance portfolio. We are seeing valuations on equipment return to pre-COVID levels and credit quality improving at the borrower level. Our team expects to grow this portfolio during this year. At quarter end, we announced the appointment of a new CEO for Equipment Finance. He brings over 30 years of experience in the equipment finance industry, including 25 years of vendor finance focus experience, where he brings deep knowledge and relationships with both vendors and end users that will help the company develop and engage with new and existing clients. It’s been early days, but we are thrilled to have Tom on the platform and he is taking us to new opportunities in the marketplace. Now let me touch on life sciences. At quarter end the portfolio totaled approximately $300 million. It consisted of 16 different borrowers. All of our companies in this asset class are meeting or exceeding their expectations at the time of underwriting. With the weighted average cash runway, now standing at over a year. Life science loans represent just over 14% of our comprehensive portfolio for the first quarter and contributed over 23% of our gross investment income. During the first quarter, the team committed to $60 million of new investments, which $36 million were funded. Repayments totaled $16 million. At quarter end, SLRC had a $112 million of unfunded life science commitments outstanding, which are available to our borrowers on reaching certain milestones. Additionally, the life science team currently has a robust pipeline of new investment opportunities, which we expect to fuel portfolio growth during the course of 2022. At quarter end, the weighted average yield on this portfolio was approximately 11% excluding success fees and warrants. Now, let me talk to the combined portfolio with the snapshot of what it would look like, had SUNS been acquired at quarter end? The combined entity on a pro forma basis would’ve had a portfolio of $2.66 billion with over $600 million or 23% of the total allocated to Sponsor Finance and $2 billion or 77% of the total portfolio allocated to Specialty Finance. Specialty finance verticals would’ve had an $810 million portfolio and asset based lending and an $890 million portfolio in equipment leasing and equipment finance. And lastly, over a $335 million portfolio dedicated to life science investments. As Michael indicated, the combined portfolio will be more broadly diversified with multiple opportunities for growth, including directly underwritten investments, tuck-in or new platform acquisitions as well as potential portfolio purchases. Importantly, the combined entity has approximately $215 million of unfunded investment commitments that we expect to fund in future quarters. In addition, leverage of the combined entity at quarter end would have been 0.9 times leverage. Creating additional investment capacity going forward to fund portfolio growth. In conclusion, we see a continuation of the investment themes that have been driving our portfolio over the last few years. Focusing our new origination activity on first lien, cash flow loans to portfolio companies in defensive sectors in the upper mid-market increasing our investments in specialty finance assets, where we generally get tighter structures and more attractive risk adjusted returns and growing our investments alongside portfolio companies by committing to unfunded acquisition lines, which will be funded over the future quarters. The keys to driving, an increase in net investment income per share the remainder of this year will be a combination of capturing anticipated cost synergies [ph] from the merger, growing our balance sheet and specialty finance portfolios, continuing to take advantage of our scale and employing a $50 million share repurchase program. Across our asset classes, we’re seeing a number of attractive investment opportunities. Given the uncertainties and market volatility, it is also important that we remain disciplined, opportunistic and highly selective in our investments. Now, let me turn the call back to Michael.
Michael Gross: Thank you, Bruce. In closing, we are optimistic about our earnings growth potential and the opportunity set across each of our investment verticals. With the overall SLRC portfolio on solid footing, we are focused on remaining disciplined and highly selective and deploying our capital into attractive investment opportunities. Financial sponsors continue to have record amounts of dry powder that is expected to support future deployment in 2022 and beyond. The larger middle market businesses, we prefer to lend to continue to choose direct financings over the syndicated debt markets. These industry tailwinds combined the scale of our investment advisor should benefit SLRC shareholders through greater access to upper middle market cash flow investment opportunities. With the pandemic has proven our better positioned to protect capital than most smaller companies. Additionally we are reaping the benefits of our scale advantage in our cash flow, life science and ABL verticals. As I mentioned in my opening remarks, Bruce and I as Co-CEOs and are Independent Directors believe that the merger of SLRC and SUNS, which close April 1, creates a larger more diverse type portfolio with incremental capacity to fund portfolio growth. We believe the merger and resulting scale potentially makes us a better acquirer and strategic buyer of these finance businesses, we will continue to be disciplined and selective in our new investments with a focus on capital preservation. As we deploy our available capital and reach the midpoint of our 0.9 times to one in a quarter times, target debt to equity range. We believe that we can drive increased net investment income per share. Importantly, we believe SLRC to make – we expect SLRC to make progress moving NII closer to covering its distributions through the remainder of this year, as cost synergies are realized, and we deploy our available capital. Finally, with the board’s authorization for SLRC’s adoption of a $50 million share repurchase program, we have additional flexibility to deliver shareholder value. Our investment of our alignment of interest with the company shareholders continues to be one of our guiding principles. The SLR team owns approximately 8% of the combined entity and a significant percentage of the annual incentive compensation invested in SRLC stock. The team’s investment alongside fellow SLRC shareholders demonstrates our confidence in the company’s defensive portfolio, stable funding and favor position to reap the expected benefits, the merger. We thank you very much for your time today, operator at this time, will you please open the line for questions?
Operator: [Operator Instructions] Our first question comes from Ryan Lynch with KBW. Ryan, your line is now open.
Ryan Lynch: Hey, good morning,
Michael Gross: Morning, Ryan. 
Ryan Lynch: First question I had you guys implemented a shared repurchase agreement. This is the first one I can remember in quite a bit of time. And I know you guys haven’t been active with share repurchases in the past, so I would just love to get a little more color on why you implemented the share repurchase now. What are your guys’ views on how active you will be in it, at the current stock price. And was it implemented more as kind of a capital allocation mechanism as we going forward? Or is it more put in there for any dislocations you guys see, in stock price or at these levels, do you envision it being as part of the normal capital allocation process?
Michael Gross: Yes. Thank you. Thank you for your question. I think what if you think back is going way back in history. We implemented a stock buyback program back in 2014, which we fully we substantially used. We did have that time because in one particular quarter we had literally a third portfolio repaid. And so we were under lever and thought that was a great capital allocation opportunity for us. In this instance we waited for the merger to close. Part of result of the merger is our leverage went down from 0.97 to 0.91. So at a $50 million buyback it would roughly take us back to the 0.97 again, wrathfully used. We thought that was a good, capital allocation policy. It was also response to the fact that there has been volatility in the BBC space, including ours. And we expect us to continue with all the uncertainty regarding rising interest rates, inflation and war that’s going on. So, we do expect to use it. We think our stock is very attracted for these levels subject to, our window period being open. We intend to use it.
Ryan Lynch: Okay. That’s helpful color. And then can you just give us any updates you guys had a – not a cool in the quarter that was also written down pretty meaningfully find – I would just love, you can give an update on what’s going on with that business. What drove that mark down in that investment?
Rich Peteka: Sure. So as you probably know, this is one of our last remaining second lien cash flow positions. We’ve been actively exiting that portfolio rather successfully until we hit a speed bump with this one which is one of the last ones we have just for context. So the business has been outsource anesthesia business and they have faced some headwinds in the market that they operate in potential reimbursement headwinds, as well as some operating headwinds, as well as some expense issues given increased wage inflation across our country, including in healthcare service companies. So it’s been a bit of a perfect storm for them. Again as a second lean investor we do take some of the brunt of that after the equity does. They’re in the process of evaluating strategic alternatives. So there’s not a lot we can say. But we’ll keep you updated as we move through the next quarter.
Ryan Lynch: Okay. I understood that’s helpful background context on that investment. And then just the last one that I had, and I just want to make sure I’m understanding this correctly. You talked about in your corporate leasing portfolio, supply chain issues being somewhat of a headwind as far as being able to fund new investments. Not that the pipeline’s not there, but the ability to fund those investments supply chain presents an issue. I didn’t hear you mention that, or maybe I missed it regarding the equipment financing portfolio. It didn’t sound like there was the supply chain issues were causes, delay and funding in that book. One, am I correct in that, that assessment, and two, can you just break down why supply chain would affect one and not the other if I am understand that question?
Michael Gross: Sure. So it, it does affect the Equipment Finance, but less Equipment Finance is to bifurcate the two businesses. Kingsbridge is lending to predominantly investment grade companies, large companies, large purchases, new purchases where so a lot of assets coming in from overseas. Our equipment finance vertical, as you may recall, is lending to small companies, mission critical equipment, very often used equipment. So it’s already landed and being employed somewhere else and then being redeployed. So just different demand drivers on the two segments.
Ryan Lynch: Okay. Thanks for the explanation. That’s all for me. I appreciate the time today.
Michael Gross: Thanks Ryan. Thanks.
Operator: Our next question comes from Bryce Rowe with Hovde. Bryce, you have the floor.
Bryce Rowe: Thanks. Good morning. Maybe wanted to start on rates and rate sensitivity. Could you guys speak to the sensitivity of your balance sheet, especially considering this pretty drastic move higher in base rates that we’ve seen or that we saw and continue to see here in next?
Rich Peteka: Sure. We do disclose a 100 basis point moves in our 10-Q where we would see a 4% to 5% per annum pop based on the 3/31 portfolio in the floating rate that we have as well. So assets and liabilities and where, what would happen with a 100 basis point move up would create $0.04 to $0.05 in NII for the year. With a 200 basis point pop year up in the 16% to 18%, $0.18 [ph] range and this is a whole on a look through basis. So looking at all five of the fin posts that we have in the portfolio post merger. So that’s on a fully looked basis, so very positive.
Bryce Rowe: Okay. And Rich, we’re talking about shock in the base rate being, being LIBOR correct at the end of the quarter.
Rich Peteka: Correct.
Bryce Rowe: Got it. Okay. And then maybe one for Bruce or Michael, just thinking about a potential upward trajectory of balance sheet leverage as you possibly fund some of these unfunded commitments, I think we’ve talked over the last, six months that, there was good visibility in into that and obviously we’ve thrown some uncertainty into the mix. Just kind of curious how you feel about some of the unheightened or the heightened uncertainty that we’re seeing and being able to get to that midpoint of the targeted range? Thanks.
Michael Gross: Sure. Great question. So as you know we have a couple levers to get there, so yes, obviously the first step was making a significant acquisition in a portfolio. We know, well at SUNS that did take leverage down a little bit, but not in a meaningful way. But we think that’s, a quarter step back for two steps forward because it also positions us with additional verticals that SLRC did not have on their own. Clearly they both participate in cash flow life science loans, but now we have the working capital line of credit businesses both Business Credit, as well as the Healthcare ABL business, both of which lend against receivables and are less M&A driven or more relationship lending where they act as local bank for their borrowers. So the use, the driver there is just putting on new relationships and having utilization of the working capital facilities that they extend to their borrowers. So that’s a new driver for SLRC and at business credit in particular, we have been making tuck-in acquisitions and growing that business. So that’s a new lever for growth. I think the other thing that we look to is the – to your point, the unfunded commitments go predominantly across our life science business and our cash flow business. Typically in life science, we do see some of that drawn down as they hit additional operating milestones or capital raise milestones. So, we think that will be drawn because the drivers are, as you know, in life sciences, it’s out new drug and device development, FDA approval process, and then getting into commercialization. So, we’re in late stage companies by and large. And so they are moving into that commercialization stage and we’ll need our capital. And I think the other driver in DDTLs is acquisition lines for existing borrowers. As you know, our cash flow business is in defensive sectors, such as healthcare and insurance brokerage, and software, and they continue to make tuck-in acquisitions. These lines, do have a cost to them when they are unused and have a life to them, a finite life. So, we expect to see steady usage of those existing commitments. And then last but not least we are putting out new capital in new opportunities. And I think the other thing worth noting is given the uncertainty. We are seeing less headwinds in terms of repayments. Clearly there will be companies that will be sold and will be repaid, but the whole refinancing dynamic of trying to drive their cost of capital down, I think, has been put on hold for the foreseeable future at the portfolio company. So that’ll also mitigate and contribute to net portfolio growth.
Bryce Rowe: Excellent. Thank you. Thanks for the time this morning.
Michael Gross: Our pleasure.
Operator: Our next question comes from Casey Alexander with Compass Point. Casey, your line is now open.
Casey Alexander: Yes. Hi, first just one maintenance question, in your discussion of the combined portfolio where you said $890 million of equipment finance, is that the equipment finance and corporate leasing combined there?
Michael Gross: Yes, it is. Yes. Casey, we are going to increasingly look to make it a little bit easier to understand the collective businesses, because they are similar, but slightly different. So same thing as we start to talk about our ABL business is similar, but slightly different. We’ll try to simplify it for you as we move forward.
Casey Alexander: Okay. Secondly regarding the new CEO of the Equipment Finance business, the previous management group was, out of, I believe out of GEs Equipment Finance, what precipitated the change is that business just not growing as fast as you’d like, or why reach out for a new CEO there?
Michael Gross: Sure. So great question. So just by way background that the consistent with all of our FinCo platforms as we call them, these are entrepreneurial founded, and teams have been together for a long period of time to your point. This team came out of GE. But basically when we brought this business on, we knew that Bill Carlson, who ran the business and started the business was going to be looking to transition out over time. He had been with us for a number of years, but he was approaching 70. And so this was a natural time in his life to retire. And so we actually brought in somebody Casey, who also has GE background most recently, he spent the last 10 years or 15 years at DLL, De Lage Landen, which is a major player in independent leasing, but he also comes by way of GE. So the entire team is in place. We just had a transition from Phil who was retiring to a new CEO.
Casey Alexander: Okay. That makes perfect sense. Thank you. Last question in relation to the Life Science portfolio, and I know that some portion of your NII not dependent, but benefits from prepayments in the Life Science area where there’s end of term payments, accelerated fees is the volatility of the equity markets actually continue to slow that down. I know that the prepayments haven’t come in at the rate that, might have expected. And I’m just wondering if the lack of having an IPO exit for certain companies or lack of not wanting to do down rounds might continue to slow prepayments in that vertical.
Michael Gross: So that’s a great question. It is so company specific in terms of where they are in their development. Because again, we’re dealing with late stage. You will see companies get purchased by big strategics, because basically the VC community has become the outsourced R&D for the big strategics. And once they get them to commercialization strategic step in and by them. So that’s really the driver of the takeout. It’s less of a refinancing market than you think of when the typical cash flow sponsor business, where they’re constantly trying to take down their cost of capital. Debt is already cheaper than equity to these borrowers. And so there – it’s not a big refinancing driver. The exit tends to be as you know 28 month, 36 month hold because you’re just so late in the development of the company’s products be they drugs or devices that then you’re getting set up for a takeout. I think the comment that you make, which is right spot on is the volatility in the equity market means they are less inclined to issue equity to fund their growth before the exit and more looking to supplement with some credit capital that in our minds is expensive, but relative to issuing equity is cheap. And so we’re actually starting to see the volatility allow us to put new assets out as we look forward this year, because debt becomes more attractive to fund that marginal dollar that they need before they sell business in the next year or two.
Rich Peteka: But just to your point, also, I think, what we do get these on a continuous, but not necessarily consistent basis. Q1 was light in that category. We will have some decent fees in Q2.
Casey Alexander: Right. Great. Thank you for taking my questions.
Michael Gross: Our pleasure. Thank you.
Operator: Our next question comes from Robert Dodd with Raymond James. Robert, your line is open.
Robert Dodd: Hi guys, and thanks for taking my questions. On the combined portfolio, you talking about $2.6 billion combined, $600 [ph] million at close, at least allocated to sponsor finance. And that’s about a quarter. Should we expect that mix, one quarter sponsor finance, three quarter specially finance to kind of stay the same going forward as potentially your lever up or is that just where it is today? And you actually have a different, say three year target allocation for that capital base?
Rich Peteka: Look, I think as you know, we grew that portfolio both at Solar and SUNS last year. I think right now, we would say that it’s probably unlikely to outpace the growth of the other segment. So, I think 20% to 25% is good at is a fair range.
Robert Dodd: Okay. Appreciate it. On the delayed draws. I mean the market has gotten more choppy. I mean, that’s just what we’re talking about in the context of the life sciences. I mean, , if hypothetically, how different are the delayed draw structures that obviously you put in place some time ago for acquisitions that come? How different are those structures from say structures that would be put in place today? Either covenant structures, coupon spreads, how much is it as kind of the market move for what you do today versus when you actually put these things in – put these structures together?
Rich Peteka: Great question. I think, as Michael mentioned in his remarks, there’s always a lag between seeing the volatility and change in terms in the broadly syndicated market and the private market. And we’ve been to your point working on deals for months before they actually close. And so you’re not always able to adjust terms. So effectively what’s in place today is last year’s structure and last year’s pricing. But I would tell you today, we’re really, if we were to book the same investment, it would look very similar. You haven’t seen that change. We’re hopeful as we get into another quarter or two as this volatility continues as always, you see the broadly syndicated market terms reflected in the private market. But I think we’re a quarter two away. So it’s really going to happen in the next quarter or two those investments be they funded or delay draws. You’ll see a bit of a change, but it really, today is no different from a year ago yet.
Robert Dodd: Appreciate it. Thank you.
Operator: [Operator Instructions] Our next question comes from Melissa Wedel from JPMorgan. Melissa, your line is now open.
Melissa Wedel: Good morning, everyone. Thanks for taking my questions today. First one is a little bit of a housekeeping item on the combination of the portfolios. I just wanted to follow up, I know you’ve mentioned a couple of different things as these portfolios are integrated, but is there anything specific that we should be thinking about in the next quarter or two in terms of incremental cost headwinds or frictional expenses or financing or things to think about as financing is consolidated?
Michael Gross: No, the good news is this merger was literally seamless, the credit facility that existed at UNS namely the revolving credit, as well as the secured note just moved over. We didn’t have to make any change to any of our finance agreements at SLRC. It’s – we obviously know the portfolio well, since we originated it all. So literally there will be no friction costs at all, and all the merger expenses were incurred in Q4 and Q1. We don’t really expect to be anything more from that. And so Q2 should be a very clean quarter and we’ll reflect the full results of the merge entity.
Rich Peteka: And not merger related specifically. But next week we do repay the 4.5% notes that we have outstanding. We pre refinance those with roughly 3.2% notes between the issuance in January and last September. So, we will also see not a full quarter kind of a half quarter of that benefit in our interest cost on a combined basis.
Michael Gross: And to just to be a little more direct regarding your question, we do expect that NII in Q2 will be higher than NII Q1.
Melissa Wedel: Okay. That’s helpful. Thank you. And my second question is really bigger picture in nature. I think that you’ve talked about a couple of interesting things in terms of the volatility potentially impacting some pricing and spreads down the road, but there is a lag in the private markets versus the syndicated and also the attractiveness of debt to fund incremental growth right now, as opposed to equity. That being said, there’s also continued to be a lot of capital formation in this space. And so I’m curious how you’re looking at the landscape longer term terms. What the opportunity set can look like for you? And what you’re expecting in terms of pricing? And also given the rather diversified platform that you guys have built, how those things all come together? Appreciate it.
Michael Gross: So let me, let me take a shot. I’m sure Bruce interrupt me. Your spot on there has been a tremendous, capital formation and private credit. The good news is that the vast majority of it is being created by those who are $20 billion, $30 billion, $40 billion, $50 billion or $100 billion asset managers. And they’re the ones who are focused on doing the $1 billion to $3 billion unitranche, we just saw second liens. And so at their scale, it kind of moved the point where we don’t really see them in our business. We’re looking to put in a given loan across our platform anywhere from $50 million to $250 million in a given loan, not $1 billion. And so the real capital formation, really has a kind of impacted our markets. And more specifically in the 75% of our portfolio, especially finance, you have not seen much capital formation in those sectors. So it doesn’t really impact that either.
Bruce Spohler: Yes, I would just echo Michael’s comment, I think the diversity to your point, Melissa of the platform, the ability to do anything from a $100,000 factoring line to $250 million life science investment, is very compelling, the aggregation of these niches adds up to a nice overall diversified platform that serves us well throughout, economic and credit cycles. And I think that’s really what we’re going to do more of. I mean, life science is a great example, even there, yes, there’s been a little bit of capital formation, but the market is, a $4 billion or $5 billion market. You’re not going see people come in that have large scale platforms and need to deploy to Michael’s point $500 million to a $1 billion in a transaction. It just doesn’t exist. So it’s important that we maintain discipline and go to a collection of defensive niches.
Melissa Wedel: Thank you, guys.
Operator: Our next call comes from Gerard Heymann from RBC. Gerard, your line is open.
Gerard Heymann: Hello gentlemen, congratulations again on the merger. I think it’s an amazing thing. And I just have a two part question for both Bruce and Michael. You guys can take it in turn or whatever, but I just was curious based on the merger now and where we are in the markets. The one thing that you guys are most excited about going forward, and the one thing you guys are most fearful of going forward, if you could possibly answer that, that would be most appreciate it. Thank you.
Michael Gross: Yes, I think the excitement is follow up on the prior questions from Melissa. The exciting part for us is that we have increased scale, increased simplicity, and our shareholders are together and combined in all can benefit from the different growth engines. As you know, back in the day, there were – when we created two different BDCs, they did have distinct investment strategies. Increasingly we also thought back then that there was a different risk adjusted return with the benefit of 16 years, 17 years. We feel that the risk has converged and it would be beneficial for everybody to be on one platform as shareholders, as employees and as borrowers. And so we’re really excited to have it together, and be able to think a little bit more simpler and broader with, and take advantage of the scale of the platform, not only at the BDC, but we, as you know have continued to partner with private capital alongside the BDC that allows the BDC to act as it is an $8 billion fund rather than a $2.6 billion fund pro forma the SUNS merger. So it really allows it to have the benefit of scale and go to the larger transactions when we want to go large and go to the small transactions, like a factoring deal when we want to go small. So, I think we have really looked at the flexibility and are taking advantage of that. I think the biggest challenge is always in credit investing is discipline. And I think we’re most concerned about the fact that as Melissa was talking about the amount of capital that has been raised people need to learn a tough lesson before they get back to their discipline centric. So, we will see marginal players come into some of our niches and we need to maintain discipline and that we’re going to let investments go and be patient. And I think that’s the real challenge day-in day-out is to not follow where some of the new players go and take a long term approach. And so that is the challenge. But I think we are up to that challenge.
Gerard Heymann: Great. Thank you very much.
Michael Gross: Thanks, Gerard.
Operator: And I’m showing no further questions at this time. So, I’d now like to turn the conference back to Michael Gross, Chairman and Co-CEO.
Michael Gross: Thank you very much. We have nothing more to add at this point. However, as always, if you have any questions or comments, please feel free to reach out to any of us at any time. We appreciate all your support. We look forward to reporting on our first quarter as the merge entity in early August. Thank you.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.